Operator: Good morning, my name is Greg Alexander, and I will be your facilitator today. I would like to welcome everyone to the UPS Fourth Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. And after the speakers remarks there will be a question-and-answer period. [Operator Instructions]. It is now my pleasure to turn the floor over to your host, Mr. PJ Guido, Investor Relations Officer. Sir, the floor is yours.
PJ Guido: Good morning, and welcome to the UPS fourth quarter 2024 earnings call. Joining me today are Carol Tomé, our CEO; Brian Dykes, our CFO and a few additional members of our executive leadership team. Before we begin, I want to remind you that some of the comments we'll make today are forward-looking statements within the Federal Securities Laws and address our expectations for the future performance or operating results of our company. These statements are subject to risks and uncertainties, which are described in our 2023 Form 10-K and other reports we file with or furnish to the Securities and Exchange Commission. These reports, when filed, are available on the UPS Investor Relations website and from the SEC. Now let me share a reporting change we have made between business segments. Effective with the fourth quarter of 2024 USPS Air Cargo results have been moved from supply chain solutions to the U.S. domestic segment. We made this change to align with our management structure and to simplify intercompany allocations and reporting. This change is visible in the web schedules that have been posted on the UPS Investor Relations website. Not that U.S. domestic revenue per piece and cost per piece metrics are not impacted by this change as USPS transacts with us on a weight basis not on a per piece basis. Unless stated otherwise, our discussion today refers to non-GAAP adjusted results. For the fourth quarter of 2024, GAAP results include a non-cash after-tax mark-to-market pension charge of $506 million. Total after-tax transformation strategy costs of $73 million, after-tax asset impairment charges of $46 million, and an after-tax cost related to the withdrawal from a multi-employer pension plan of $14 million. The after-tax total for these items is $639 million or $0.74 per diluted share. Additional details regarding year-end pension charges are included in the appendix of our fourth quarter 2024 earnings presentation that is posted to the UPS Investor Relations website. A reconciliation of non-GAAP adjusted amounts to GAAP financial results is available in today's webcast materials. These materials are also available on the UPS Investor Relations website. Following our prepared remarks, we will take questions from those joining us via the teleconference. [Operator Instructions]. Please ask only one question so that we may allow as many as possible to participate. You may rejoin the queue for the opportunity to ask an additional question. And now I'll turn the call over to Carol.
Carol B. Tomé: Thank you, PJ and good morning. We have a lot to cover today. I'll begin with a review of our fourth quarter and full year results. Then I'll provide an overview of the moves we are taking in 2025 to drive our performance. Brian will wrap up our prepared remarks with more detail about our financial performance and our 2025 outlook. And we'll leave plenty of time for questions. But first, let me start by thanking UPSers for their hard work and efforts as we executed another outstanding peak. For the seventh year in a row, we were the industry leader in on-time service during peak season, the most important time of the year for our customers. In the face of a compressed holiday period, our people, enabled by the agility of our integrated network, did what they do best and that's deliver for our customers. Moving to our results, the positive momentum we saw in the third quarter continued into the fourth quarter. Compared to last year, consolidated fourth quarter revenue increased 1.5% to $25.3 billion. Operating profit was $3.1 billion, an increase of 11.2% from last year, better than we expected, and consolidated operating margin was 12.3%. Importantly, our U.S. domestic operating margin was over 10% for the quarter, reflecting improved revenue quality and strong expense control. Looking at the full year, our consolidated revenue was $91.1 billion, slightly above last year. Consolidated operating profit totaled $8.9 billion, and consolidated operating margin was 9.8%. We generated $10.1 billion in cash from operations in 2024, and we returned $5.9 billion to share owners in the form of dividends and share repurchases. Before I discuss our plans for 2025, let me share a few operational and financial highlights. In 2024, we continue to grow our U.S. SMB penetration, and finish the year with SMBs making up 28.9% of our total U.S. volume, an increase of 30 basis points from last year. DAP, our digital access program, was a big driver of the increase and in 2024, we generated $3.3 billion in global DAP revenue, a 17% increase year-over-year. As we discussed, we are moving from a scanning network to a sensing network through our smart package, smart facility, RFID initiative. In 2024, we equipped nearly 60,000 U.S. package cars with sensors, which represents 66% of our fleet, eliminating 12 million manual scans per day, and enhancing package visibility for our customers. Within network of the future, in 2024, we accelerated operational closures and completed nine more than planned, resulting in 49 operational closures which included permanently closing 11 buildings. And we did this while continuing to deliver outstanding customer service. Today, about 63% of our U.S. volume flows through our automated facilities, compared to 60% in 2023. Finally, we took actions in our healthcare logistics business to further support our growth plans. Earlier this month, we completed the acquisition of Frigo-Trans, a European healthcare logistics company specializing in cold chain and in December we opened two state-of-the-art healthcare cross-dock facilities in Italy and Germany. These moves further expand our cold chain capabilities to serve a growing European market. Before I talk about 2025 I'd like to take a short look back at the last five years. In June of 2020 in the face of the COVID-19 pandemic we launched our better-not-bigger strategy hinged on three elements. Customer first, people led, innovation driven. For the first few years we focused on growing select markets and optimizing financially attractive volume including volume from SMBs and healthcare customers. Further we focused on making productivity a virtuous cycle by launching transformation 2.0 and we began a portfolio optimization program including selling our LTL freight business and making a few strategically important acquisitions. From 2020 through 2022 we delivered solid financial results in line with our strategy at a time when much of the world was struggling due to the challenges presented by the pandemic. In 2023 our financial results faced unexpected challenges due to an unfavorable economic environment and a prolonged payment [ph] negotiation with the teamsters. While the labor negotiation caused volume and earnings disruption we gained certainty regarding our labor cost for the next several years. After wrapping the first year of our new labor contract in the third quarter of 2024, positive momentum began to build and we returned to volume, revenue, and operating profit growth. We continued to drive productivity through several programs and focused on revenue quality and we took further actions to optimize our portfolio by selling our truckload brokerage business known as Coyote and we entered into agreements to acquire Estafeta, a leading Mexican logistics integrator and Frigo-Trans. We closed out 2024 with an outstanding peak delivery investing class service and financial results ahead of our target. But as we wrapped up 2024 it became clear to us that if we didn't address three specific challenges facing us in the U.S. we could lose momentum. The first challenge relates to the dynamics of the U.S. small package market. Today it's a slow growth market with changing package characteristics. The second challenge comes from the concentration of volume and revenue we have with our largest customer. Looking ahead we project this business if we take no action we'll drive diminishing returns. The third challenge is the reliance we have had with the USPS for our SurePost product. In this case the USPS is changing its operating model which we believe puts service at risk. So we've taken actions to address all three of these challenges head on including doubling down on revenue quality and serving the customer segments we want to serve best. First, we've reached an agreement in principle with our largest customer for a significant reduction in volume, lowering their volume with us by more than 50% by the second half of 2026. With this we will right size our network and retain the volume that is nutritive for us and for our customer. Second, effective this year on January 1st we no longer use the USPS for our SurePost product. Service is a fundamental part of our value proposition and by insourcing this product we can be certain we deliver great service with no material impact to our financial performance. In connection with these changes while I'm incredibly proud of the productivity actions taken by our leaders, we've realized we're not done. We are reconfiguring our U.S. network and have launched multi-year initiatives we're calling Efficiency Reimagined which tackle our processes from end to end, from peak hiring practices to processing payments and more. Efficiency Reimagined should drive approximately $1 billion in savings. These significant business and operational changes coupled with the foundational changes that we've already made will put us further down the path to becoming a more profitable, agile and differentiated UPS that is growing in the best parts of the market namely healthcare, B2B, SNB, and international. We've got some work to do to make this all happen, but there's no better team than the UPS team. We will deliver. As Brian will detail, in 2025 these actions are expected to result in expanded operating margins and an improvement in return on invested capital. And by taking these actions, we expect by the fourth quarter of 2026 to have a U.S. domestic operating margin of at least 12%. With that, thank you for listening, and I'll now turn the call over to Brian.
Brian Dykes: Thank you, Carol and good morning, everyone. Our financial performance in the fourth quarter was better than we expected due to our focus on revenue quality and excellent cost management. The positive momentum that we began in the third quarter continued throughout our busiest time of the year. This morning, I'll cover four areas, starting with our fourth quarter results, followed by a review of our full year 2024 results, including cash and shareowner returns, then I'll provide more detail on the business and operational changes we are making. And I'll close with our expectations for the market and our financial outlook for 2025. Starting with our consolidated performance. In the fourth quarter, we delivered revenue and operating profit growth and margin expansion. This is a continuation of the momentum that we showed in the third quarter and the first time in three years that we've shown growth in the fourth quarter on all three of these financial metrics. In the fourth quarter, we generated $25.3 billion in consolidated revenue, an increase of 1.5% compared to the fourth quarter of last year. Consolidated operating profit was $3.1 billion, an increase of 11.2% versus the fourth quarter of 2023, and consolidated operating margin was 12.3%, an increase of 110 basis points compared to the fourth quarter of last year. Diluted earnings per year was $2.75, up 11.3% from the fourth quarter of 2023. Now moving to our segment performance. U.S. domestic delivered strong fourth quarter results driven by gains in revenue quality and outstanding cost management. And during the compressed 2024 peak season, our average on-time service led the industry by 470 basis points over our closest competitor, which drove high demand for our services, allowing us to continue winning new customers throughout peak. For the quarter, U.S. average daily volume or ADV was flat to last year, ground average daily volume increased 2.1% year-over-year, while total air average daily volume was down 12.9%. Excluding the volume decline from our largest customer, total air ADV grew driven by demand from healthcare and high-tech customers. Within ground, SurePost ADV as a percentage of total ADV, increased slightly compared to the third quarter of 2024. Through the power of our matching algorithm, we increased SurePost redirects by 660 basis points sequentially from the third quarter, which resulted in half of the SurePost volume being delivered by UPS drivers. For the quarter, total B2B average daily volume was down 1% year-over-year. However, we saw B2B growth from healthcare customers, including healthcare SMBs. On the B2C side, average daily volume was up slightly year-over-year and made up 64.7% of our volume. In terms of customer mix, we saw strong ADV growth from SMB customers, which grew 4.5% in the fourth quarter, driven by double-digit growth in December. In the fourth quarter, SMBs made up 27.8% of total U.S. volume. This was the highest fourth quarter concentration we've seen in 10 years. For the quarter, U.S. domestic generated revenue of $17.3 billion, up 2.2% compared to last year due to the strength of small package in December and increases in air cargo. In the fourth quarter, the revenue per piece growth rate flipped positive for the first time this year, and was up 2.4% year-over-year, which was a sequential improvement of 460 basis points from the third quarter of this year. Breaking down the components of the 2.4% revenue per piece improvement, base rates increased the revenue per piece growth rate around 250 basis points. Strong keep-rates on our holiday demand surcharge increased the revenue per piece growth rate by 110 basis points. The net impact of customer mix, combined with product mix and lighter weights decreased the revenue per piece growth rate by 80 basis points. Lastly, fuel drove a 40 basis point decline in the revenue per piece growth rate. Turning to cost, total expense increased 1.3%. Since we -- the first year of our labor contract at the end of July, this was the first full quarter at a lower contractual union wage growth rate. In fact, the average increase over the prior four quarters was 10.5%, and the fourth quarter this year union wage rates increased by only 3%. Through our network of the future initiative, we exceeded our initial target by completing 49 operational closures this year, including 11 buildings. By leveraging our technology and increasing automation, we've processed and delivered the same amount of volume in the fourth quarter as last year, but we did it with 3 million fewer hours while delivering excellent service. We lowered small package block hours within our air network in response to changing volume levels, purchase transportation and other expenses declined as we insourced 50% of SurePost volume during the fourth quarter, and we tightly managed rental equipment through peak. Lastly, our safety performance was better than we expected and drove a benefit in casual peak spend. Looking at cost per piece, throughout the fourth quarter in the peak period, we leveraged technology and our proven practices to hold the increase to just 0.9%. The U.S. domestic segment delivered $1.8 billion in operating profit at 11% increase compared to the fourth quarter of 2023, and the operating margin was 10.1%, a year-over-year increase of 80 basis points. Moving to our international segment, for the second quarter in a row, our international business grew revenue and operating profit and expanded operating margins. Total international average daily volume growth were positive for the first time in three years and was up 8.8% year-over-year. International domestic average daily volume increased 5.8% compared to last year, driven by strong performance in Canada. And on the export side, average daily volume increased 11.7% year-over-year, with all regions delivering ADV growth. Asia export average daily volume was up 15.4%, delivering growth for the third consecutive quarter. And at the country level, 17 of our top 20 export countries grew export ADV led by Mexico and Germany. And in Germany, which is our largest export market, export average daily volume increased 8.6% compared to last year. In the fourth quarter, international revenue was $4.9 billion up 6.9% from last year, with all regions growing revenue year-over-year. International generated positive operating leverage, driven by our ongoing network optimization and cost management efforts. Operating profit in the international segment was $1.1 billion, an increase of 18.1% year-over-year. Operating margin in the fourth quarter was 21.6%, an increase of 210 basis points from a year ago. Moving to supply chain solutions, in the fourth quarter, revenue was $3.1 billion. Revenue decreased $306 million, with the reduction impacted by $588 million in revenue from Coyote in the 2023 period. Revenue within our forwarding and logistics businesses increased $282 million. Looking at the key drivers, air and ocean forwarding revenue was up 10.3%, led by continued strong market demand out of Asia. And logistics revenue grew by 16.2%. In the fourth quarter, Supply Chain Solutions generated operating profit of $284 million down $24 million year-over-year, which included an impact of $13.5 million of operating profit from Coyote in the same period in 2023. Operating margin in the fourth quarter was 9.3%, an increase of 20 basis points compared to last year. Walking through the rest of the income statement, we had $229 million of interest expense, our other pension income was $67 million, and our effective tax rate for the fourth quarter was approximately 20.5%, lower than our expectations due to discrete items. Now let me comment on our full-year 2024 results. For the full-year 2024 revenue was $91.1 billion, a slight increase over 2023. We delivered operating profit of $8.9 billion and a consolidated operating margin of 9.8%. We generated $10.1 billion in cash from operations and continued to follow our capital allocation priorities. We invested $3.9 billion in CAPEX, we distributed $5.4 billion in dividends, we repaid $3.8 billion in debt that matured during the year, and at the end of the year, our debt to EBITDA ratio was 2.25 turns. Lastly, we completed $500 million in share buybacks in 2024. And in the segments for the full year, U.S. domestic operating profit was $4.5 billion and operating margin was 7.5%. The international segment generated $3.4 billion in operating profit, and operating margin was 18.7%. And Supply Chain Solutions delivered operating profit of $1 billion and operating margin was 8%. Which brings us to 2025. As Carol described, we are taking a set of strategic actions to address the challenges facing our U.S. business head-on. Execution is already well underway and these actions together will create a more agile and profitable UPS. Let me provide more detail on what we're doing. I'll start with the agreement in principle we've reached with our largest customers significantly reduced the volume we deliver for them. The accelerated decline has already begun and will step up meaningfully so that by the second half of 2026, their volume will be down by more than 50% of what it was at the beginning of the year. The speed of the glide down is five times faster than our initial glide down efforts between 2021 and 2024. The results of this change will be lower overall volume levels but an improved customer mix at a significantly higher revenue per piece. We are deliberately shifting our business and increasing our focus on growing higher yielding volume and value share. Lower overall volume levels from this customer will lead to lower revenue dollars in the near term. However, we expect to grow revenue per piece through shifting our customer mix and by leveraging our architecture of tomorrow pricing technology. This will enable us to continue the strong base rate improvements in 2025 that we delivered from our enterprise and SMB customers in the second half of 2024. Additionally, we will double down on growing volume and revenue in the best parts of the market for us, including SMB, healthcare, and B2B. And in terms of SMBs, this year we expect to take the SMB percent of our U.S. volume to 32%, and the momentum will continue for the longer term. Now looking at cost, as we bring volume down, we will not only reduce the hours and miles associated with this volume, we will be able to take out fixed costs to match our capacity to our new expected volume levels. All facts to the network are included in the reconfiguration. And we expect to close up to 10% of our building, cut back our vehicle and aircraft leads, and reduce labor. The right sizing of our U.S. capacity allows us to accelerate our network of the future initiative. We will be able to more quickly bring down less efficient capacity while further investing in automation across the network, getting us to a more efficient U.S. network faster. The capital requirements to run our reconfigured network will also decrease. We will share more details on our execution plan on our first quarter earnings call in April. Now turning to the changes we made with SurePost. As of January 1st we began delivering 100% of our SurePost volume, and in mid-January we implemented a 9.9% average rate increase on SurePost. Offering a reliable economy service is an important part of our product portfolio and overall value proposition. The changes we made give us greater point-to-point operational control and the ability to provide better service to our customers, which brings me to our Efficiency Reimagined initiatives. Lower overall volume and a reconfigured U.S. network created an opportunity for us to increase efficiency by redesigning processes from end to end. Through our Efficiency Reimagined we expect to deliver approximately $1 billion in savings. Pulling it all together, even while we're undergoing the largest network reconfiguration in our history, we expect to expand U.S. domestic operating margin in every quarter of 2025, with a full year operating margin approaching 9%. As the impact of our cost-out efforts increased over the next 18 months, we expect to pace operating margin improvement to accelerate into 2026, where we expect by the fourth quarter to generate a 12% U.S. operating margin. And we see even more upside potential in the longer term. Turning to guidance for 2025, starting with the macro, S&P Global Forecast Global GDP growth of 2.5% compared to 2024. Real exports and global industrial production are both expected to increase around 2% year-over-year. In the U.S., manufacturing is expected to turn positive for the first quarter of 2025 after seven quarters of negative year-over-year growth, and the consumer is expected to remain resilient. Moving to our 2025 financial outlook, for the full year 2025 on a consolidated basis, revenue is expected to be approximately $89 billion, and operating margin is expected to be approximately 10.8%. Our guidance for 2025 does not reflect any significant potential global trade implications due to changes in tariffs. Now let me give you a little color on the segment. Looking at U.S. domestic, as a result of the actions we're taking, full year 2025 revenue is expected to decline 2.3% year-over-year driven by an ADV reduction of about 8.5%, partially offset by strong expected revenue per piece growth of approximately 6%, and we will wrap the newly on-boarded USPS air cargo business. We expect the intended volume and revenue declines to accelerate as we progress throughout the year. Full year operating margin is expected to be approximately 8.8%, an increase of 130 basis points compared to 2024. And to provide a little shape for the first quarter, which has one fewer operating day compared to the first quarter of 2024 we expect revenue to increase nearly 1% year-over-year, despite ADV being down approximately 4% and we expect to expand operating margin by approximately 140 basis points year-over-year. Moving to the international segment, we expect mid-single digit ADV growth throughout the year, but with lower demand related surcharges than we've seen in prior years. For the year, we expect 2025 revenues to increase approximately 2.5% year-over-year, with an operating margin of around 18.6% and looking at the first quarter, we expect revenue to be flattish compared to the same period last year, and operating margin to be moderately down year-over-year due to lower demand related surcharges. And in Supply Chain Solutions for the full year 2025, we expect revenue to be approximately $11 billion and operating margin to be approximately 8.5%. In SCS in the first quarter, revenue is expected to decline about $500 million due to the reduction in revenue associated with Coyote in the same period last year. Operating margin in SCS in the first quarter is anticipated to be low to mid-single digits due to pressure from purchase transportation costs related to our mail innovations business. We expect the first quarter to be the lowest SCS operating margin in 2025. For modeling purposes, in total below the line, we expect approximately $780 million in expense, with a little more than half in the back half of the year. We expect pension expense to be approximately $37 million for the full year 2025 which is $306 million higher than in 2024 primarily due to the impact of market shifts and interest rates on our pension assets last year. We included a slide in the appendix of today's webcast deck to provide you more detail on pension. The webcast deck is available on the UPS Investor Relations website. Now let's turn to our expectations for cash and the balance sheet. We expect free cash flow to be approximately $5.7 billion including our annual pension contribution of $1.4 billion. Capital expenditures are expected to be about $3.5 billion. While we are accelerating our network of the future initiative, our reconfigured U.S. network should require less investment in vehicles and aircraft as we right size the capital base. We are planning to pay out around $5.5 billion in dividends in 2025 subject to Board approval. We expect to buyback around $1 billion of our shares. And lastly, we expect the tax rate for the full year to be approximately 23.5% as we expect the current U.S. corporate tax regime to remain. We've covered a lot today. We're moving quickly to continue our momentum. The results of our actions will be an even stronger, more agile, and more profitable UPS that's growing in the best parts of the market that value our end to end integrated network. With that Operator, please open the lines for questions.
Operator: Thank you. Your first question today comes from the line of Tom Wadewitz from UBS. Please go ahead.
Tom Wadewitz: Yeah, good morning. You got a lot of big things going on. One, wanted to see if you could talk a little bit more about how can we build confidence that, against a pretty meaningful drop in revenue from the Amazon change that you're able to, I guess, quickly enough get out the fixed costs, so that as opposed to seeing deleveraging and margin pressure that you're seeing the margin improvement that you're talking about, so yeah, I think just a bit more of kind of how that equation can play out, recognizing that we think of the network as having a fair bit of fixed cost to start with? Thank you.
Carol B. Tomé: Tom happy to do that, but maybe I'll just start by talking about the Amazon announcement. We've been a partner to Amazon for nearly 30 years, and we hold that company in high regard. Amazon is our largest customer, but it's not our most profitable customer. Its margin is very dilutive to the U.S. domestic business. Our contract with Amazon came up this year, and so we said it's time to step back for a moment and reassess our relationship, because if we take no action, it will likely result in diminishing returns. So we considered a number of different options and landed on what we think is the best option for our company, and that is to accelerate the glide down of their volume with us, as we commented in our prepared remarks, by more than 50% by June of 2026. As you pointed out, Tom, there are a lot of assets and resources that support that Amazon volume, but as we glide down the volume, we will also be gliding out those assets and resources which gives us the margin expansion that we've explained. Now I'll turn it over to Brian so he can explain how the cost will come out.
Brian Dykes: Sure. Thank you. And Tom as we said before, clearly there's a lot of stakeholders that are involved here, and we needed to make this announcement so we can engage with those stakeholders. But you're absolutely right in your intuition that this is going to require a reconfiguration of the network so that we bring the fixed asset base, the buildings, the vehicles, the aircraft, in line with the new volume levels, and we'll give you a lot more color on how we're going to roll that schedule out on the first quarter earnings call, once we have a chance to engage all the stakeholders involved. But I do think that is the key here, that is the mission, and quite frankly, it's already underway with our team.
Carol B. Tomé: And one reason for a glide down over 18 months, rather than six months because we wanted to make sure that we didn't strand cost. Now, clearly our labor costs will flex with volume. As volume goes up, we have more hours, as volume comes down, we have less hours. So that's just part of the DNA of how we operate our business. But we have I think proven in 2024 that we can close buildings, because with network of the future, we did just that. We closed down 11 buildings with improved service. Nando, would you like to comment on that?
Nando Cesarone: Sure, thanks. And this question Tom, just to give you comfort here, you'll know that five facilities already in January have been partially or completely closed, and this year we'll have 140 active network of the future projects, 61 of them will go live this year. Of course, just driving up the number of shipments that run through our automated facility. So that gives me a lot of confidence, gives our people a lot of confidence. So we feel good about these moves and we're ahead of schedule.
Tom Wadewitz: Great. Thank you.
Operator: Your next question comes from the line of Jordan Alliger from Goldman Sachs. Please go ahead.
Jordan Alliger: Yeah. Hi, just to follow up on the SurePost side of things, maybe give some sense for how much volume sort of is going to be pulled into the network, can the network, as it's currently constituted today, ready from day one to move all the volume that the post office had done so? And then maybe along with that, can you touch a little bit, is this -- some of this bringing SurePost in house, designed in part at least to replace or infill some of the Amazon business going out in terms of network density? Thanks.
Carol B. Tomé: Well, Jordan, thanks for the question. Let's step back for a moment on SurePost. All SurePost products are sorted through our buildings. We had used the USPS for last mile delivery for a portion of that and through our Engineering and IT matching algorithms, we've been able to redirect a lot of the SurePost volume back into the network. In fact, for delivery by our people. In fact, in the fourth quarter, 50% of the SurePost volume was delivered in the ground network. So as we came to the decision to insource all of it and have it all delivered by our network, it was simply a matter of both service. Up until this year, we had been injecting into the last mile network of the USPS, and the service there was good. But as I think you know, the USPS is changing their operating model, and as a result of those changes, we were going to have to insert upstream into their sorting facilities, and we were very concerned about service deterioration. At the same time, they were going to increase their cost to us, and that value proposition of an increased cost as well as deteriorating service, well, that didn't work for us. So in the middle of December we determined that we would insource 100% of the SurePost volume, which we have done. And I'm pleased to say that's gone very well for us. Yes, we have a few more delivery stops per car, but interestingly, we aren't driving more miles. So when we look at the financial impact insourcing SurePost, we feel very good that it's actually not going to have a material impact to our business at all. Now, we did make a GRI increase, I will admit, but from an operating perspective, it's going swimmingly well and Nando would you like to add?
Nando Cesarone: Yeah, sure. So Jordan, there's multiple opportunities for us to match shipments now, as we control that volume over multiple days. We've also adjusted our algorithm to really target stops or stop matching to 100 feet of a regular stop. And certainly this helps us smooth the daily dispatch for our employees. So resources in terms of spiking one day versus another, we're able to flatten that and keep the staffing picture very linear for the company. In addition to that, of course, we're exploring different ways on how we can move the volume through slower networks, because it is an economy service as we look at rail and how we leverage rail across the country, as well as ground movements to make sure that we're hitting our service portfolio. Early days show, as Carol had said, mileage index looks good, packages per car look good, the just overall performance right now just really proud of the team, and they continue to try to optimize this service as we go forward.
Brian Dykes: And Nando, if I could just add one thing, because I think it relates to the prior question as well, because I think the investments that we have made in the network and the technology allowed us to insource almost 1.5 million stops within a matter of weeks. I think it's a testament to the operators, but also a testament to the agility that we've created into the network, and that will help us as we move forward with the reconfiguration we're undertaking. The other thing I do think is important that you should know is that we have included some expectation that there could be some churn, right, with the GRI and the changing service. There are some customers that this might not work for, and we've taken that into account in our forecast.
Jordan Alliger: Thank you.
Operator: Your next question comes from the line of David Vernon from Bernstein. Please go ahead.
David Vernon: Hey, good morning. So a couple questions for you here on this, on sort of the guidance and the growth outlook. When you think about the 10.8% margin that we're going to have for full year 2025, Brian, is there any way to think about what that number would look like if you had sort of adjusted the network at the start of the year, I'm just trying to get a sense for what the run rate level of margin would be if you didn't have the deleveraging that would ultimately come with lower volume? And then Carol, can you maybe talk about what the growth picture looks like X the glide down, there's a lot of concern in the market right now from investors around the organic or lack of organic growth in the small package business and I'm just trying to get a sense for what -- how you guys are thinking about the growth outside of the glide down in the next two years? Thank you.
Carol B. Tomé: Happy to.
Brian Dykes: Sure. So why don't I take the margin question first, and Dave, I think what we've built into our forecast is we are going to be taking the fixed cost out commensurate with the volume drawdown as we go through the course of the year. Now, that will also accelerate as we go into 2026 and you'll see an improvement margin and as we said, we expect to get to the 12% as we go through 2026. I think what's really important is you take a step back and you look at what's going on, even though volume is going to decline relatively significantly in the U.S., rev per piece is going to go up 6% and that will be a combination of customer mix, product mix, but also the continuation of a good base pricing discipline that we've shown in the first quarter. And by taking this, I would say, relatively non-nutritive volume, we're unlocking the ability for us to control our margin profile as we move forward and really push it not just to the 12% but beyond as we move forward, we grow in the areas where it's most important for us.
Carol B. Tomé: And David on the growth algorithm, the small package market excluding Amazon is projected to grow in the low single digits in 2025 and we project to take share. One area of share will be on SMBs. We're really proud of the performance we've seen with our SMB growth, nearly 29% of total business in the U.S. in 2024. We're going to take that up to 32% in 2025, ROA to 35% in 2026 and beyond. That's just one aspect of growth. We can look at it through a customer segment, or we could also look at it through capabilities. And this is what we're really focused in right now is focusing on complex logistics that differentiate us away from the rest of the competition. How did we grow SMBs, because we've invested in our digital access platform. We've invested in pricing architecture of tomorrow, which is moving us from the art of pricing to the science of pricing, allow us to put more potential bids through deal manager, winning more with less discounting, providing better service for that customer. We're also growing into the healthcare space, we're growing into the B2B space through store replenishment. We created a store replenishment system in 2004 with 15 retailers and almost 3000 stores across the nation, helping them with time definite delivery into their stores, which helps drive their productivity. So we're going to take share in this in the slower growth market, but we're not going to cap our margin, because had we not accelerated the Amazon volume down, we would be capping our margin in a slow growth market. So now we have an opportunity to grow and grow margin too. Now you might put the map together for David.
Nando Cesarone: David, I think it's important, because you're absolutely right. There's a lot of moving parts on how we go from 2024 to 2025. But if you look at the change in the revenue, the 91 to the 89 take SCS out of it, because that's really related to Coyote, and you've got about 1.5 billion of revenue decline associated with Coyote. And you just look at the domestic business, look the actions that we're taking with our largest customer, we are going to draw down revenue about $2.5 billion. And then we've got growth, right, that's going to plug that gap of over $1 billion, which as Carol said, is really focused in SMB enterprise, and these differentiated capabilities that are going to allow us to grow in the market and take share.
David Vernon: Alright, thanks. And if I could just squeeze one more in here, Carol, I think your point about share, the post office is raising rates to you and lowering service levels. Is it fair to think that they're doing that to the broader market as well which kind of increases some of the share take opportunity or is that not the right way to think about it?
Carol B. Tomé: I think that's absolutely the way to think about it.
David Vernon: Thank you.
Carol B. Tomé: Thank you.
Operator: Your next question comes from the line of Stephanie Moore from Jeffries. Please go ahead.
Joseph Hafling: Good morning. This is Joe Hafling on for Stephanie Moore. I maybe wanted to stick on that point on the SurePost and USPS. In the past, you had talked about handing off that final mile being really high ROIC for you guys. I guess, what's changed and maybe how you guys are operating the network now and bringing those volumes in house that you feel comfortable, kind of bringing in all those volumes and can still see good returns?
Carol B. Tomé: Well, it first starts with service. We pride ourselves on service. We have the leading on time service of any competitor. And if you don't deliver on that value proposition, you can lose the business. So we wanted to first deliver service, but then we wanted to make sure that we can make a buck on this business too. So Nando you might just reemphasize how we're operationalizing the insourcing.
Nando Cesarone: Yeah, sure. So in the past, we'd really have only one shot to match a shipment to a UPS shipment, and that was the morning of arrival. Now we've got multiple days, and our technology is able to see through those days to match as many as we can. In fact, I think last year around 30% plus match. We're in the 50s now, and we continue to refine that number as we start looking at proximity deliveries to UPS already scheduled ground packages. And again, I think one of the bigger ones is just smoothing or the ability to smooth dispatch across the week, which avoids any spikes and therefore we don't need to staff up to one day of the week. In reality, we staff to the entire week, which brings its own inefficiencies. And look, we've got the best dispatch technology that any company would want to have, and we are utilizing it to the fullest extent and we don't mind what we see in terms of results right now. I think they've done a great job being efficient and putting that volume into our network.
Carol B. Tomé: And Matt, you might talk about how we are priced relative to the market.
Matt Guffey: Yeah, so as Carol mentioned, look, we came out with the 9.9% GRI and we made sure that we aligned the value to service. Number one, what was most important is to protect the service of our customers that we just highlighted. But I'd ask you just to remember a couple things, SurePost is a product in our full portfolio. So when our customers buy, they don't just buy the SurePost product they also buy our ground residential, which is our premium offering. So both of these, the product was designed and once the way we price it to be, it's an economy product that is less time sensitive. But both ground residential and ground SurePost will provide service and reliability to our customers, and we price accordingly to the value.
Brian Dykes: And Joe on the ROIC point, I just want to point out, one of the things we take a lot of pride in is getting the most out of our assets at UPS. And you can see from our CAPEX forecast, we are not going to be adding assets for this volume. It fits into the network, and as Nando said we are able to work it into the dispatch. And we are focused on managing the capital base and driving ROIC higher, which you see in our 2025 guide.
Carol B. Tomé: Yeah, we anticipate based on the numbers we've just laid out for you today, that our return on invested capital will grow about 300 basis points year-on-year.
Joseph Hafling: Great. Thanks so much for the thoughtful answer, guys.
Carol B. Tomé: Thank you.
Operator: Your next question comes from the line of Ken Hoexter from Bank of America. Please go ahead.
Ken Hoexter: Hey. Great. Good morning. Can you qualify what Amazon revenues were for the full year, I know this was the first time you gave a mid-year at 11.5%. I don't know if you gave a final year, but as Amazon takes back those volumes, can you maybe talk about competition now in different segments, I guess you've always said, the reason why they stick with you is you do different things for them, such as returns, pickups, things that they rely on you. Does this mean we should expect an increasing amount of competition in areas that you kind of had kind of moat around as your specialty versus the market, and how should we think about that from a competitive standpoint? Thanks.
Carol B. Tomé: Yes, so for the full year, Amazon made up 11.8% of our total company revenue. From a competitive perspective, I think it's important to note that Amazon will remain a customer of UPS when we finish our accelerated glide down on those areas that are a win for us and a win for them. They have a one-way model as you know, and we can handle things today that they can't handle. Amazon, when you think of them as delivering packages, you think of them as a vertically integrated retailer, because that's what they are, ignoring their AWS business, but that's what they are, it is a vertically integrated retailer who needs some help with some things, and we're going to provide that help for them in a more nutritive fashion, when we reach the accelerated glide down. I will tell you Ken, this was not their ask, this was us, this was UPS taking control of our destiny. We'll be working with them, of course, on the accelerated glide down because they've got to figure out how to catch some of this volume. But we are not anticipating changes in the competitive environment as a result.
Ken Hoexter: Great. I guess if I could throw a follow in, the pace of the consolidated, the facility shutdowns, Nando you were talking about how you've already started that. Is there kind of numbers you can throw out, maybe update us on how quick you can get some of those out?
Nando Cesarone: Yeah, Ken, as I mentioned before, we've got a lot of stakeholders that we need to talk to related to the network reconfiguration. We're going to lay that out for you on the first quarter call. It's fair to say it will accelerate as we go through the year, especially in the second half and then into the first half of 2026. But give us until April, and we'll lay that plan out for you.
Ken Hoexter: Great. Thanks. Appreciate the time.
Carol B. Tomé: Thank you.
Nando Cesarone: Thank you.
Operator: Your next question comes from the line of Ari Rosa from Citigroup. Please go ahead.
Ariel Rosa: Hey, good morning. So a lot of changes underway. Carol, I was hoping maybe you could paint a picture for us of how you envision the future of UPS, say five or 10 years from now. And specifically, you talked about some of these growth areas, maybe you could give us some color on how you see kind of the TAM of those growth areas, whether it's healthcare, SMB, and what role UPS plays within that market, such that the top line revenue growth doesn't experience the material decline that I think a lot of people are perhaps concerned about this morning? Thanks.
Carol B. Tomé: Yeah. Thank you for that question. I love to talk about our future, because I think our future is very bright. We are leaning into the segments of the market that value our end to end network, but we're doing it through differentiated capabilities. And so when you think about the future of UPS, think about complex logistics where we are providing solutions for the segments of the market that no one else has. Think about RFID tagging, which started as a productivity initiative for us, has turned into an inventory management opportunity and benefit for our upstream customers. Think about healthcare. Healthcare is such an opportunity for us. The healthcare market growth slowed down a bit in 2024. The market grew 2.5%, we grew 5%, so our healthcare revenue for the year about $10.5 billion. We've got plans to take that to $20 billion by 2026 and the TAM, the addressable market just in complex is over $80 billion. To break down that $10.5 billion for you, we've got $5 billion in complex, we've got $1.5 billion in clinical, and we've got about $4 billion in non-complex. So we are going to over index on the complex and clinical over the next several years. As we think back now on these differentiated opportunities, international diversification is also an opportunity for us. A couple of years ago, we realized that manufacturers in China were moving to a China plus one strategy where they weren't exiting China, but they were moving manufacturing to other locations, like Vietnam. So we got ahead of it. We expanded our operations and we see in these trade lanes where we expanded operations, 20% growth, 30% growth. So international diversification is another opportunity for us. So this is not a company that's shrinking. This is a company that's gliding down its largest customer, but it's not a company that's shrinking. It's a company that's growing. Now we laid out some revenue targets and operating margin targets a year ago in March. We're going to hit the operating margin targets. We are absolutely confident on that. We will reset the revenue targets once we get through all of this, because we need to give you color and clarity as to where we're taking the top line. But there's plenty of growth ahead for us. A differentiated UPS, complex logistics which is the premium part of the market.
Operator: Your next question comes from the line of Chris Wetherbee from Wells Fargo. Please go ahead.
Chris Wetherbee: Hey, thanks. Good morning, guys. Carol, maybe I can pick up on that last point. I think the 2026 question is an important one, and I get the margin mix up as a result of some of the glide down here. But I guess as we think about this process, I mean, is there a way you can give us comfort that we won't be sort of in a flattish or maybe down earnings scenario for a multi-year period of time, so I guess, in other words, maybe more directly, can you grow earnings in 2026 and I guess if you can, can you walk us through maybe some of the parameters, I know you want to lay them out in more detail in April, but I think just given sort of the magnitude of what we're talking about here, some help around kind of guide points for 2026 I think are important?
Carol B. Tomé: And I think that's absolutely a fair question. And as I talked about this last night, so we are like someone is going to ask this question, we need to come out and do that for you. Not going to do it on today's call. We need to come out and do that for you in a thoughtful way, so we can give you the TAMs, we can show you how we're growing. We can do that in a thoughtful way. Brian -- we'll figure out a time to do that this year, maybe at the end of the first quarter. We'll figure out a time to do that. But is there any color that you want to share right now?
Brian Dykes: Yeah. And Chris, and while we will absolutely lay out 2026 I just want to make sure that we're also clear on what 2025 is going to look like, because, we do have both plans as we draw down the volume, we'll be taking fixed costs out. We also have Efficiency Reimagined that we talked about that's going to drive $1 billion in cost savings through process improvement. That's also underway. We're starting to see results from it, and it's an exciting program because it makes us a much more agile organization. So as we progress through the quarter, we will expand domestic operating margin in every quarter of this year, right. We will expand it every quarter of this year, and we will finish with almost 130 basis points better than we finished last year. That's going to accelerate as we go into 2026 and we'll lay that out for you on the coming call.
Carol B. Tomé: We're growing profit dollars, not just margin. We're growing profit dollars, and I think we're not shrinking the profit dollars, we're growing the profit dollars.
Chris Wetherbee: And that's something we can think about in 2026 as well?
Carol B. Tomé: Yeah, absolutely, because we will accelerate the cost out related to the fixed cost.
Chris Wetherbee: Okay, that's helpful. Thank you.
Carol B. Tomé: Yeah.
Operator: Your next question comes from the line of Scott Group from Wolfe Research. Please go ahead.
Scott Group: Hey, thanks. Good morning. Carol, you said a few times that this business has been very dilutive to margin. I'm just wondering, like, would you characterize this as a mid-single digit margin, a low single digit, a no margin business, that's the first thing? I totally get the mix impact here. But when I just think about price, right, if we're losing 10%, 15% of the volume, and we to some extent, need to backfill that does that in any way, change your pricing discipline? And then last thing I know, I'm asking a lot, but last thing, do you think we should just assume that the other 50% of this business goes away in a few years, when the contract comes up again?
Carol B. Tomé: So I'll answer the last part first, I don't think so. Think about returns. We have 5200 UPS store locations that make it very convenient for customers of Amazon to return their Amazon packages. We do that very, very well for Amazon. So there's a place of harmony if you will between our two companies. So I don't think it will go all away. I think we're landing at the right spot with this accelerated guide down. I think it would be inappropriate for me to talk about the profitability of any account. This is extraordinarily dilutive, and I'll leave it at that. And perhaps you could back in to the number if you look at the percentage of revenue and the volume that we described, and that might help you think about the dilution. Brian, anything you want to add to that.
Brian Dykes: And Scott, I also wanted to because you asked about pricing discipline. And I think this is a really important point because we recently figuring the network to the new volume level. So we are not chasing volume in order to fill empty capacity. The capacity will adjust to the new volume level. And that’s really a key point because we have some pricing discipline in the second half of 2024. We saw great revenue per piece growth in the fourth quarter and that is going to extend into 2025 and be a portion of the rev per piece improvement that we see. That pricing discipline is implemented. We've got processes in place, and we absolutely are going to continue to keep that going forward.
Scott Group: So you think you can reduce capacity, one for one with the volume drop here?
Brian Dykes: Yes.
Carol B. Tomé: Yes.
Scott Group: Thank you guys. Appreciate it.
Carol B. Tomé: Thank you.
Operator: Your next question comes from the line of Ravi Shankar from Morgan Stanley. Please go ahead.
Ravi Shankar: Great. Thank you. Just a few things, you quantified the Amazon revenues a couple of times now. Can you quantify what percentage of the U.S. domestic volumes are Amazon because I think that's pretty important stat for doing the math here? And also to your point on the returns, I think Amazon did start trialing an in house return program last year. Do you see risk to that scaling up over time as well?
Brian Dykes: So Ravi, on the volume, if you think around 20% of the volume in the U.S. network 2025 depending on the time and the price, look on the returns and I'll let Matt talk a little bit about our returns portfolio in a second. But what I would say is, there's a lot of return solutions in the market. Here's what I know, our returns growth continues to grow with UPS Store. We have a great footprint. We have a great customer experience. And Matt, maybe you want to talk a little bit about how we've been adding to that.
Matt Guffey: Yeah, I think just Carol hit on it. When you think about the physical footprint that we have in the United States, 5200 stores give us access in the proximity to very, very close to most consumers in the U.S. And just the overall experience, right, is the key component. Returns in reverse logistics is hard to do, and this gives us a capability and we continue to build on that. Let me just give you one other example, though we've also added if you remember, we acquired Happy Returns. This compliments that returns experience, because now not only do you have the physical, but you can also do the digital, which is a no box, no label, which drives a much better experience for the consumer, for UPS, and for our customers as well. So we continue to add to this and believe that we have the best in class returns portfolio.
Carol B. Tomé: And I might dimensionalize the glide down in a different way, just to help you in the modeling between 2021 and 2024 on average, we glide -- the glide down was about 250,000 packages per day per year. Between 2024 and 2026 on average and of course, this is not the average, it is just an average, but the average between 2024 and 2026 will be 1.2 5 million packages per day per year. So five times as fast as what we did before.
Operator: So your next question comes from the line of Brian Ossenbeck from J.P. Morgan. Please go ahead.
Brian Ossenbeck: Hey, good morning. Thanks for taking the question. Just a couple of follow-ups here. Given that big impact on volume and I'm assuming Amazon was a pretty big peaker during peak season. Can you talk about the broader implications for the network for peak season, I know you can give us more update in April after I'm assuming you speak to the teamsters about this big change, but can you give us a sense in terms of what may be complications you can encounter with that, can you still reach Sunday delivery with SurePost? Thank you very much.
Carol B. Tomé: So from a peak perspective, we'll operate peak like we do every other year. We won't have as many leases I suspect but we will operate just like we do any other year. Nando, would you like to add?
Nando Cesarone: So regarding peak, we stretch our network with variable costs. So we'll rent equipment. We'll set up temporary sort facilities. A lot of that's not going to be required. We'll lease aircraft, we won't need to. We rent tractors and trailers and shifters and all that stuff from our vendors, and clearly as the volume settles, that's an opportunity for us to not rent those pieces of equipment this peak season. So I think we've built that little hedge for ourselves with the variable cost that we're just going to pull all that back in.
Operator: Your next question comes from the line of Bascome Majors from Susquehanna. Please go ahead.
Bascome Majors: Carol and Nando, I think we've seen more change in the parcel space in the last two years than the prior 15. Can we talk another big picture question here, when we roll out to 2027-2028 number one, do you think that we've seen the last of the big shoes to drop on some of the changes to the competitive landscape, cost structures, that sort of thing with you and your competitor or could there be more seismic shifts? And you already talked a bit on a previous question about where you think UPS wins in that long term landscape, can you talk a little bit about your competitors, like, where do FedEx ground and Ground Economy win and have an advantage, where does USPS ground advantage win, where do the regional or gig economy players win, just to think about the competitive landscape more holistically, longer term? Thank you.
Carol B. Tomé: Well, there's a lot to that question, and we were focusing our comments today pretty much on 2025 and cheating in a little bit to 2026 but happy to think big picture on 2027 and 2028. I think the world is changing and the rate of change is accelerating. It's hard to imagine a big shoe to drop. I don't think we fully understand the impact of generative AI and what it can mean for productivity amongst industries broadly. Certainly it is an opportunity for us to drive productivity and a better customer experience. Would it put us at a competitive disadvantage to anyone, I can't see that. In fact, I think we're ahead of most companies in this space, but I need to be mindful that that's changing. We need to be mindful that trade follows policy, and tariffs aren't necessarily good for trade. So there may be changing trade lanes. I don't know if it's a big shoe to drop, but it could be changing trade lanes, but we do know of the largest trade lanes out in the world, they are in Asia, and we're expanding our air hub in Hong Kong, and building new and Philippines. So we're going to be ready to take advantage of these changing trade lines, however, they may come about. There's a lot of opportunity for UPS to grow in the differentiated logistics, complex logistics world. The capabilities that we are enabling throughout our business, it creates stickiness with customers like we've never seen before. Perhaps that's a big shoe to drop, because our churn improved more last year than it's been since I got here. So from a competitive positioning perspective, I do believe stickiness puts us at a point of differentiation. Now, perhaps when we come back Brian and do the addressable markets and where we're going to grow and the revenue, we can talk more about our competitive positioning. But trust me on this, we take every competitor and we tear it apart to understand where we may have a gap and how we might need to fill that gap. I'll give you two examples, in Europe last year, we didn't have an economy product, and that was a problem for us. So our IT team, working with our pricing team and our operating team in Europe, they fast tracked that didn't they Kate.
Kate Gutmann: Sure did, growing double-digit.
Carol B. Tomé: Growing double-digit. We needed to offer a weekend solution. What did we do on weekend, Kate?
Kate Gutmann: Rolled it out, first mover in Canada and now in Europe and major countries, especially in Western Europe, and both of them exceeding the revenue targets and doing better on the cost side of it, because we just built it into our regular efficiencies that we do around the world.
Carol B. Tomé: So if we see a gap that we need to fill, we do it.
Bascome Majors: Thank you.
Operator: Your next question comes from the line of Bruce Chan from Stifel. Please go ahead.
Bruce Chan: Yeah, thanks operator, and good morning everyone. I think it's very encouraging to see some of the proactive changes here, and maybe I'll just focus in on SPSF because it strikes me that the RFID initiative is very helpful in optimizing your assets to some of these fairly significant market developments. Looks like you're underway in Phase 2. So maybe what's the target for rollout across the entire package car fleet and any comments that you have around the timeline, especially in the Phase 3 would be great?
Carol B. Tomé: So Nando, would you like to take that?
Nando Cesarone: Yeah, so we've got a schedule, of course prepared, a dedicated team to execute the changes as we talk about the changes to the Amazon and other changes here with SurePost. That schedule is completely linked to our financial plan, and we have full confidence that we can execute those changes. In addition to what Carol mentioned earlier, especially with RFID tagging, we've got an opportunity to pull customers in where the stickiness just becomes a real big discussion and decision if they ever want to really disconnect from that technology, because it's going to not just help delivery of packages, but also their back office environment, which we're really excited about.
Carol B. Tomé: We should be rolled out this year. And from a customer stickiness perspective, Matt, you can give a couple of examples.
Matt Guffey: Yeah, yeah. So what Nando just highlights and Carol framed is it's really important, because we do get from RFID, we get some productivity benefits and efficiency benefits. But from a customer value proposition, it's resonating very, very well. When you think about how you connect this to our total value proposition in the B2B or commercial space, we typically think industrial and high tech in some of these areas, but retail is a big driver through store replenishment, and this has really enabled us to win in this space. We brought over and if you heard Carol in her opening comments, she highlights this, but 15 retailers that we've already on-boarded, and I would -- large enterprise retailers in the United States that really love the RFID capability, because they have inbound visibility to what's hitting their docks, and it allows them then to spread their workforce and how they inbound that volume. It also, again, it complements us from a commercial perspective, because we can deliver many packages to just one location. The last piece I would add on to that which when you couple this together, is we're able to give these retailers inbound delivery windows, and it allows them that flexibility, so you have the physical capability, but then you have the visibility through RFID. And we believe we're just on the edge of something great here to work with our retailers to continue to grow.
Carol B. Tomé: So it improves their stockings, it reduces their labor hours. It's a win, win, win. So we'll continue to lean into that in a big way. And we're ahead of the game here when we look around the competitive landscape around the world.
Bruce Chan: Great. Thank you.
Carol B. Tomé: Thank you.
Operator: Your next question comes from the line of Brandon Oglenski from Barclays. Please go ahead.
Brandon Oglenski: Hi, good morning, and thank you for taking my question. Carol, maybe just a quick two part one here on capital, given that you are right sizing the domestic network right now, what would be the right level of maintenance CAPEX for the business and is 3.5 the level you took it to this year, which is, I think, a pretty drastic cut from where you thought you'd be a year ago, is that sustainable? And then I guess, in that same context, how prudent is a $1 billion share repurchase this year with anticipated dividend payments of 5.5 billion, especially when your payout ratio looks like it's going to be approaching 80% of trailing earnings when I think you're targeting something closer to 50? Thank you.
Carol B. Tomé: So on the capital side, Brian, I'll let you address that, and then I'll talk about the allocation of shareowners.
Brian Dykes: Sure. Yeah, Brandon, and thanks for the question, because capital management is very important to us. You see, we have brought down the capital now. What I will say within that CAPEX plan, we're fully funding network of the future, and I think along with this, in concert with the network reconfiguration, that's going to allow us to take that 63% of volume process through automated facilities up significantly as we rationalize less efficient conventional capacity. So we're fully funding that and we're moving forward with it. Where we are able to tighten up is the volume drawdown will allow us to operate with quite frankly, fewer vehicles, fewer aircraft, and fewer buildings. And that's what we're -- that's what we're anticipating. I think, as you think about going forward, we will be managing the capital base. So thinking about CAPEX in line with depreciation is where we think that we're going to need to manage it as we continue to automate, but also manage the capital base as we improve ROIC. That's realistic. And if you go back to Europe and kind of before we were allocating a lot of capital into a specific customer, that's kind of where we were.
Carol B. Tomé: And to your question about, is it prudent to buy back shares, and what about your payout, and isn't it too high? I think it's important to note that we have a very strong liquidity position. We had a benefit from 2024 on a tax payment that we will pay in 2025 but if you push that tax payment back into 2024 we're actually generating more cash in 2025 than we did in 2024, strong liquidity with access to capital. From a dividend payout perspective, we're targeting 50% of earnings, and we're higher than that. It's important to note, however, that it's distorted because of the below the line, non-cash pension expense, and if you ignore the non-cash pension expense, the payout ratio isn't as high as it appears at its base. So plenty of liquidity to pay the dividend and on the share repurchases, the way we're thinking about it today is our compensation plans are dilutive from an EPS perspective, so $1 billion just basically protects the dilution. What Brian and I have talked about is, why don't we debt finance that because with the yield on the stock and the after tax cost of the debt, it's a really good trade, because the after tax cost of the debt is slower than the yield on the stock. So that's what we're thinking about in terms of how we would fund a share repurchase.
Brandon Oglenski: Thank you.
PJ Guido: And Greg, we have time for one more question.
Operator: Okay, that question comes from the line of Jon Chappell from Evercore ISI. Please go ahead.
Jonathan Chappell: Thank you. Good morning. Just quick market one. I understand that you implemented the GRI for SurePost, Brian, you talked about strong RPP growth of 6% for U.S. domestic, which is obviously going to be a big mix impact as well. But we're kind of hearing in the market and Carol highlighted some of the challenges on kind of core volume of some pricing pressure overall, just on core organic business. Are you seeing any of that, is there a little bit more competitive spirit out there, I guess, to kind of maintain and/or grow share, just given some of the challenges in the core markets?
Carol B. Tomé: I think our fourth quarter results are proof positive of the strength of our pricing approach. We had very strong keep rates on our base rates, as well as our holiday demand surge charge. Our GRI on our core business is 5.9% for 2025. We're going to keep probably 50% of that. So the 6% RPP growth, you can break it down, a third, a third, a third, can't you Brian, why don’t you go ahead and do that?
Brian Dykes: That's right. So if you think about where that is coming from, Carol is exactly right. It's about a third from the strong base race and look, there's nothing sexy about it. This is a grind, and Matt and I spend every Monday morning going through how we're seeing the market evolve, the pricing, and looking at how customer is performing. And we've created a lot of discipline around that, so it's a rational price environment, but we're getting really smart about how we do it, and that helps us get the key. Matt, I'll let you elaborate on it in one second. On the mix, on the other pieces, though, you've got a third that base rate. You've got a third that's customer mix driven, right. So, as Carol said, our focus on SMBs is allowing us to win there. And when you look at it, we won through peak and SMBs, and we also won it through peak on premium products, right, which is the other third of the rev per piece improvement. Matt, do you want to add anything?
Matt Guffey: I think you hit on two points that are important. One is, we just put a lot of rigor and discipline behind the pricing -- our pricing practices here and we'll continue that. To Brian's point, it is an interesting stat, because in Q4 we really leaned in on the premium segment. 60% of our wins in Q4 were in the premium segment. And that's focused on the products that value our end to end network what Carol highlighted as complex. The last thing I would just highlight is, look, we've talked to you about schedule tomorrow, which is our pricing technology. And we've talked to you about Deal Manager, which allows us the ability to leverage pricing signs for SMBs. Now with Deal Manager it's in the fourth quarter. 96% of our deals we've been able to price up to $10 million all came through Deal Manager, which allows us speed, we can turn time and we can customize them unique for the customers. So it's given us a lot of flexibility to drive the right value for our customers, but also align our costs and our prices.
Jonathan Chappell: Thanks.
Operator: I will now turn the floor back over to your host, Mr. PJ Guido.
PJ Guido: Thank you, Greg. This concludes our call. Thank you for joining and have a great day.
Operator: Ladies and gentlemen that does conclude your conference for today. Thank you for your participation and for using AT&T Teleconference. You may now disconnect.